Operator: Greetings, and welcome to the XPEL, Inc. First Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode and a question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Mr. John Nesbett of IMS Investor Relations. Sir, you may begin.
John Nesbett: Good morning, and welcome to our conference call to discuss XPEL's financial results for the first quarter of 2023. On the call today, Ryan Pape, XPEL's President and Chief Executive Officer; and Barry Wood, XPEL's Senior Vice President and Chief Financial Officer, will provide an overview of the business operations and review the company's financial results. Immediately after the prepared comments, we'll take questions from the call participants. I'll now take a moment to read the safe harbor statement. During the course of this call, we'll make certain forward-looking statements regarding XPEL, Inc. and its business, which may include, but not be limited to, anticipated use of proceeds from capital transactions, expansion into new markets and execution of the company's growth strategy. Such statements are based on our current expectations and assumptions, which are subject to known and unknown risk factors and uncertainties that could cause our actual results to materially differ from those expressed in these statements. These factors are discussed in detail in our most recent Form 10-K, including under Item 1A Risk Factors filed with the Securities and Exchange Commission. XPEL undertakes no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. With that, I will now turn the call over to Ryan. Go ahead, Ryan.
Ryan Pape: Thanks, John, and good morning, everyone. Welcome to our first quarter 2023 call. Clearly, we're off to a great start in 2023. In the quarter, revenue grew 19.5% to $85.8 million. This was our second highest revenue quarter in history, which is great considering Q1 is almost always and historically been our lowest seasonal quarter of the year. U.S. revenue grew 22.8% compared to Q1 2022 to $51 million. This was up sequentially by a little over 7%. Results seems to coincide with Q1 U.S. SAAR performance, which finished better than most expected and rising new car inventory levels were a contributing factor to this better-than-expected results, and we benefited from that. As we discussed in the past, we've been mindful of potential impacts of the challenges current macro environment such as higher interest rates that could impact the new car buyer. But so far, our new car buyers have proven to be quite resilient. I think we're seeing that in our results. And the luxury share of the U.S. market reached an all-time high in Q1, which is a good point for us as well because we continue to over-index into that segment of the market. Our China region finished right where we expected and what we talked about with the inventory destocking and changes coming out of the lockdown of last year, revenue declining approximately 25% versus the prior year quarter. So we should reach the trough in China sales in Q1, and we expect incremental sequential quarter-on-quarter increases for the rest of the year. We're still forecasting annual 2023 total China revenue to be pretty flat relative to 2022 given the slow start of the year. Having said that, – we're bullish on the long-term opportunity in China. As we discussed last call, where with the end of the COVID restrictions, we're moving quickly to get our team set up and get on the ground in China to support our distributor car dealership and OEM relationships that we have. And we expect that to be operational towards the end of the second quarter. China was able to host their large dealer conference similar to what we did in March that was attended by over 1,000 participants, and we were able to have our team on the ground for the first time in three years, and it was very energetic, very positive. So we're happy about that transition the market opening to us. So it's going to be a big part of our focus for the remainder of the year. The other regions had strong revenue quarters as well. Europe, Middle East, APAC, LatAm, all record quarters, which was great. And again, for most of these, Q1 is typically the lowest quarter of the year seasonally. So all positive results there. And we think that sets us up for a strong second quarter. We expect Q2 revenue to be in the $100 million to maybe $102 million range. So that should exceed $100 million in quarterly revenue for the first time in our history. So that's a nice milestone. And this assumes just incremental improvement in China, but still down single digits, mid-single digits compared to Q2 2022 for the quarter. Overall, our outlook for the year really hasn't changed substantially from our view in February. The business – our business has remained strong in spite of the macro uncertainty and our current view sees that continuing. We're certainly aware of the possibility of some delayed onset pain from this tightening cycle and the impact on vehicle affordability. But right now, we haven't seen it impacting our business. In a quarter with a lot of positives, we certainly want to highlight our gross margin performance at 41.9%. As you recall, we guided to around 42% gross margin by the end of the year, and we're a little bit ahead of schedule on that, which is great. We continue to see some margin benefit from lower China mix, as we've discussed in the past, and we continue to gain leverage on fixed costs embedded in gross margin. And then the preponderance of the continued gross margin improvement is mainly the result of our ongoing work around our building materials costs and a little bit of pricing benefit from last year. So even though we're here sooner than we planned, still expect to finish the year at 42% range, plus or minus a few basis points. We may bounce around a little bit Q2 and Q3 as we get there with the different mix of products and different mix of channels, but all in all, really good, very happy about that. As a result, Q1 EBITDA grew 43.9% to $17.1 million, reflecting an EBITDA margin of 19.9% and a sequential increase from Q4, a little over 29%, really nice operating leverage for the quarter there. We just held our 2023 dealer conference. It was a huge success. We had 650 customers in attendance from 33 countries. This was the largest conference we've had in our history. The energy was amazing. And really, the conference is not about XPEL. We're not standing there droning on and on about our products or lecturing people on it. It's really about the experience our customers get to improve their business in a small format, breakout session and interacting with each other. So it was amazing. And it's one of the most important things we do every year. We also announced during the conference latest additions to our Fusion+ ceramic coating line, which included a fusions aircraft product as well as some incremental products to our automotive Fusion+ line. So these products for our coatings business – we'll continue to slowly expand the verticals we target, as we've discussed our plans to do over the longer term. You've seen marine products and then now it's aircraft product, and we're working towards this incremental vertical expansion over time as well as going deeper in the current verticals like we did with the launch of additional automotive Fusion+ products. So it's been well received, and we're going to continue to do more of it. One of the sessions of great importance at our dealer conference was training and a reveal of our DAP NEXT, our newest version of our DAP platform. We got great feedback. There was a lot of excitement about what that means and what's to come. We're going to be retiring the old version in the next three to four months, and that will enable us to even further focus all of our development on the new platform, which is really more than just what we've traditionally done with software as a means to cut and manufacture the product on demand, but really as a tool to help our customers run their businesses better, which by extension is obviously good for them, but then the extension is good for us. So with the retirement of the old platform, that will allow us to put that much more energy driving that forward. So that's going to be a big milestone for us sort of by the end of the summertime. So the conference, dealer conference was great overall, and I look forward to doing it again next February. Additionally, we completed a small acquisition on May 1, which is the first acquisition we've done this year. It was around a $5 million purchase of a dealership services business, which will integrate into our overall dealership services segment of the business and will add about $4 million in revenue. Great addition for us, expands our footprint, checks all of the strategic boxes. It's immediately accretive and brings new product and service revenue as we further expand that dealership services. Our inventory finished at $84.6 million for the quarter, up around $4 million from Q4, which was consistent with our expectations, especially with the reduced demand out of China for Q4 of last year and Q1 of this year. And as we discussed, in addition to that we’ve had a number of vendor commitments we’ve chosen to honor as we work to bring inventory levels down overall. And it continued to take us time to unwind this, but this should be the peak and we have a solid plan to manage our days on hand down over the coming quarter to optimize cash flow. But still support planned revenue growth. In this business, the one thing that we do not ever want to do is run out of product. So the wheels fall off when that happens, but we’re making good progress and we will see lower days on hand as we progress throughout the year. All in all, really great quarter for us, appreciate all the efforts of our team, particularly the 150 or so that dedicated their weekend to our dealer conference and put on an amazing show for our customers. So great quarter. So with that, Barry – I’ll turn it over to Barry to add a little color on the numbers. Go ahead, Barry.
Barry Wood: Thanks, Ryan and good morning, everyone. Just to cover off a couple more points on revenue. Looking at the product lines combined paint protection film and cutbank revenue grew a little over 14% in the quarter and was up sequentially a little over 5%. Our window film product line revenue grew 29.9% quarter-over-quarter to $15 million, which represented 17.5% of our total revenue. And this is up sequentially from Q4 by a little over 28%, so really solid quarter for window film. Our Q1 vision product line revenue grew 6.4% to $1.2 million, and this was up a little over 13% sequentially. Our vision product line tends to be seasonal with December, January and February as low months, but we have momentum in this line as March was a pretty strong month for us. Our OEM revenue had a solid quarter growing a little over 50% versus Q1 2022 to $3.5 million. And our total installation revenue combining product and service grew 34% in the quarter and represented 17.2% of total revenue, so all in all, really good performance across the board in the quarter. Our Q1 SG&A expense grew 18.9% to $21 million and represented 24.5% of revenue. And our expense growth was a bit muted in the quarter with the out of period impact from the timing of our annual dealer conference. The impact was about $800,000 in Q1 2022. So we’ll see those conference expenses hit in Q2 this year, but even considering that we saw some really nice leverage in the quarter. Our Q1 net income grew 46.5% to $11.4 million reflecting net income margin of 13.3% and EPS was $0.41 per share. Sequentially net income was up just under 37%. Cash flow from ops for the quarter was $0.7 million, which is substantially lower than our EBITDA number. And one contributing factor is that we had a record revenue month in March where revenue was about $8 million higher than December. Our DSO has been fairly consistent, so it follows that our AR would increase as it did so by about $6.6 million over year end. We’re not seeing any movement in terms of customer delinquencies, which is a percent of revenue has remained constant. So that was one factor. And as Ryan mentioned, we did increase our inventory levels by about $4 million, so that had a negative impact as well. And finally, timing of PMA payments can impact operating cash flow either way from quarter-to-quarter. And this quarter that impact was negative by approximately $2.5 million. And there’s no doubt the increase in our inventory levels over the last few quarters has been a primary driver in our decreased efficiency in our cash conversion cycle. But we expect our day sales outstanding and our day’s payables outstanding to be somewhat consistent in the coming quarters. So given that we’ll begin to see positive impacts to future operating cash flows as our inventory levels normalize. Also in April, we closed on a new $125 million credit facility. The primary driver in doing this was just to get better term – financial terms in addition to increasing our borrowing capacity. And this new facility nicely enhances our financial position to execute on all of our strategic initiatives. And while we expect to be able to fund most of our acquisition pipeline with cash, the new facility provides maximum financial flexibility and plenty of dry powder for the foreseeable future. So again, really good start to the year and we’ve got some good momentum going into Q2. Looking forward to talking again next quarter. With that operator, we’ll now turn the call over for questions.
Operator: [Operator Instructions] Thank you. Our first question is coming from Steve Dyer with Craig-Hallum. You may proceed.
Steve Dyer: Thanks. Good morning, guys. Nice results.
Ryan Pape: Thanks, Steve.
Steve Dyer: We talked a bit about this last quarter, but I’m just kind wondering continue to keep an eye on and sort of in the marketplace. One of the questions is, as inventory sort of starts to loosen a little bit if, you’re seeing any change just among the preloads or the dealers that preload the wrap on vehicles here as things get a little looser and maybe that becomes more of a point of negotiation as opposed to preloading it and tell you that you got to have it.
Ryan Pape: Sure. Yes. No, I think there’s a couple dynamics there. We’ve seen it both ways. When you look at where our products are most often preloaded, we see it much more with the window product line than we do the paint protection film to begin with. So the amount of preloading, at least for substantial coverage paint protection film that we see across the whole network is actually relatively low. So I don’t think we have a huge exposure to that. And window film as a preload is really a necessity in many markets. So that should be pretty durable in any environment. And then on the flip side, we’ve seen – definitely seen interest from dealers in terms of adding products as the market adjustments that have had been so prevalent, have been winding down or being substantially reduced. So I don’t see significant exposure to that as that inventory dynamic continues to shift.
Steve Dyer: That’s great color. Thank you. Just on the acquisition that you made in the Dealer Services segment, wondering if you could just get a little bit more specific as to what this company does? How it integrates with what you’re already doing, et cetera?
Ryan Pape: Yes. So in our dealership services, we’re doing relatively high volume in terms by attach rate installation of paint protection or window film for car dealerships directly. And this is typically a type of business that our existing aftermarket network isn’t as interested in with the preload high volume. And that’s what we did with the PermaPlate acquisition and a subsequent acquisition two years ago. And this is really just another smaller version of business like that that we can integrate to do that work for dealerships.
Steve Dyer: Okay. And then I guess given some marginal revenue there along with the Q1 beat, any sort of change to your view on the year of 20% to 25% revenue growth?
Ryan Pape: No, I think we’re still there and what we’re seeing now, keeps us on track for that. I don’t think our position really has fundamentally changed. We’re not inherently more pessimistic about the year nor are we more optimistic than we were two months ago. So I think we’re feeling good about the business, still a little cautious just as everyone is. But no fundamental change in our outlook.
Steve Dyer: Got it. All right. Appreciate the color guys. Good luck.
Ryan Pape: Thank you.
Operator: Thank you. Our next question is coming from Jeff Van Sinderen with B. Riley. You may proceed.
Jeff Van Sinderen: Good morning, everyone. Let me add my congratulations. Just wanted to see if maybe you can update us on where we are with the attach rate at this point. I know we’ve got some moving parts, but maybe just touch on that if you could for PPF?
Ryan Pape: Yes. So I mean, yes, for PPF, I mean, I – this is a slow moving, but ever increasing rate, best that we can tell. So depending on how you look at that, you’re looking at the U.S., you’re still talking probably high single digits with some amount of paint protection film attached. I would tell you that from a quarter-to-quarter even, multiple quarters sequentially, this isn’t something we’re able to define probably more accurately than that. But we still see the upward momentum of attach rate for the paint protection film product for sure.
Jeff Van Sinderen: Okay, good. And then great to see automobile inventory broadly improving on dealer lots. Where do you think we are in the process of inventory levels on dealer lots kind of normalizing and maybe could you speak more about what you’re seeing in your dealer services business and how you expect that business to trend over the next coming quarters?
Ryan Pape: Sure. Yes, I mean, I’m hesitant to correlate the overall trend with how it impacts our dealership services business only because for various reasons we’re – have geographic concentration and even concentration around certain makes that perform differently just in terms of the manufacturer’s ability to restock that inventory. But as it pertains to our business directly, we’ve seen a broad based improvement in that for the most part. I think probably affecting 60%, 70% of the dealerships that we service have seen either a substantial improvement in their inventory situation or a complete improvement. And that’s been a positive for us this quarter. We’ve seen in that segment some of the highest numbers we’ve had both from a car count standpoint and then from an overall revenue standpoint. So that trend has certainly been good for us. And I think as we – as the rest of the 25% to 40% of those dealerships sort of that we service kind of get back in that situation, that’ll continue to be positive for us.
Jeff Van Sinderen: Okay, good. And then I wonder if you could speak a little more – a little bit more about the depth [ph] software feedback on that. What’s left to be done on the new software initiative as you basically end of life the old software?
Ryan Pape: Well, I would say in terms of what left – what is left to be done, is anyone who’s ever been involved in a software project knows it never ends. So it will never end. So it’ll never be done. But I think in terms of some of the core things that we’re trying to do to help our customers with options for process to be more efficient for compensation and commission to make sure they’re paying people right. And then ultimately we want to create a platform to enable more pricing discovery about what the cost of these installation should be. The industry has a very simplistic pricing structure today, and maybe that’s fine, or maybe it’s not, though without the technology and the data behind it, you don’t know. So from that standpoint, we’re talking many iterative cycles here are left to go to bring that value. So right now we’re really focused on the incremental wins and then shifting people to this platform. But there’s going to be work to do on this for years to come to hit exactly all the things that we want to do.
Jeff Van Sinderen: Okay. Fair enough. Thanks for taking my questions and continued success.
Ryan Pape: Thanks, Jeff.
Operator: Thank you. Our next question is coming from Tim Moore with EF Hutton. You may proceed.
Tim Moore: Thanks and congratulations on the strong gross margin. And so can you continue execution of the plan? A few of my questions were already answered, but let me start off with if I heard – did I hear correctly that the OEM sales were up 50% sequentially and can maybe update if that was driven a bit more by Rivian or if it came from kind of a European smaller OEM relationships we have over there?
Ryan Pape: Yes, so it was 50% over the prior year Q1 2022. And it’s really a combination of things. Certainly, Rivian is a contributor of that as that program produced its first revenue in October. And then, we’ve been working to scale that each month-on-month sequentially after that. So that is a driver of that. But at the same time, our other programs have all grown as well in terms of their efficiency or vehicle counts or as manufacturing logjams have been released. That’s put more vehicles through the system too. So it’s really a mixed bag. But certainly, Rivian is now contributing to that on a year-over-year basis where there wasn’t revenue in the prior year.
Tim Moore: Great. That’s helpful color. Just to follow up on window tinting, it seems like some investors are overlooking that growth profile. I know it’s a smaller revenue base, but they have been very consistent with the growth rate. How are you may be trying to approve the attachment rate? And I would assume you have dedicated teams for the window side to drive sales growth? Are they broken up from the PPF team?
Ryan Pape: Yes, so our bifurcation there is really about the automotive products and then our architectural window films where we do have dedicated team on the architectural side. In terms of automotive, that’s handled by our core team. And really you look at, we’ve got the three core product lines, paint protection window film and the coating business. And our goal is to drive content per vehicle across all of those, and in various channels in various ways, sometimes a sale of one versus the other is easier. The window film business for automotive obviously is more established. There are more people that are familiar with it. So there are times where we’re leading with that and then trying to come back in with paint protection film and coatings or anything else. So it really depends. But our job is to get as much dollar share content on as many cars as we can. That’s job number one.  And then, less important that is, our ideal split among the different product types. And so I think you’ve seen that with the window tin is one where we’re able to provide good service and good value and win market share in a slower growing and much more established business. And that is either because of the paint protection film business and the coatings business, or it will ultimately be a driver of the paint protection film and the coatings business depending on the order in which it happened.
Tim Moore: Great. That’s helpful, Ryan. My last question is, I was curious, how fast is maybe the ceramic coating growing the past few quarters? I saw those that news announcement last week for the four new coding options. Maybe you could just talk a little bit about ceramic coding?
Ryan Pape: Yes, we’re still on a small base. So we’ve seen growth generally far in excess of our overall growth rates, right? So it’s a much higher growth product on a smaller base. That’s one where we think more product differentiation can actually help grow it faster. Not all of the products we sell are necessarily equally benefited by extensive product differentiation. But in terms of the ceramic coating, we actually think that it will be as it intersects the installation characteristics and sort of the customer preferences there. So, the expansion that we did even within automotive, ignoring sort of the aircraft component is one that we really think will be a catalyst to continue the high rate of sales growth we’ve seen there, because we have more options for more people on how we get the product on the car. So yes, really happy about that.
Tim Moore: Thanks, Ryan and Barry. And I look forward to you to seeing you at the conference this week in New York. That’s it for my questions.
Ryan Pape: Thanks, Tim.
Operator: Thank you. We have reached the end of our question-and-answer session. So I’ll now hand the call back over to management for any closing remarks.
Ryan Pape: Yes, thank you all for joining us and thanks to our team for a great quarter and we’ll speak to you soon. Bye-bye.
Operator: Thank you. This concludes today’s conference. And you may disconnect your lines at this time. We thank you for your participation.